Operator: Good morning, and welcome to the Vornado Realty Trust Second Quarter 2018 Earnings Call. My name is Christine, and I will be your operator for today's call. This call is being recorded for replay purposes. [Operator Instructions]. I will now turn the call over to Ms. Cathy Creswell, Director of Investor Relations. Please go ahead.
Catherine Creswell: Thank you. Welcome to Vornado Realty Trust Second Quarter Earnings Call. Yesterday afternoon, we issued our second quarter earnings release and filed our quarterly report on Form 10-Q with the Securities and Exchange Commission. These documents as well as our supplemental financial information package are available on our website, www.vno.com, under the Investor Relations section. In these documents and during today's call, we will discuss certain non-GAAP financial measures. Reconciliations of these measures to the most directly comparable GAAP measures are included in our earnings release, Form 10-Q and financial supplement. Please be aware that statements made during this call may be deemed forward-looking statements and actual results may differ materially from these statements due to a variety of risks, uncertainties and other factors. Please refer to our filings with the Securities and Exchange Commission, including our Form 10-K, for more information regarding these risks and uncertainties. The call may include time-sensitive information that may be accurate only as of today's date. The company does not undertake a duty to update any forward-looking statement. On the call today from management for our opening comments are, Steven Roth; Chairman of the Board and Chief Executive Officer; and David Greenbaum, President of the New York Division. Also, in the room are Michael Franco, Executive Vice President and Chief Investment Officer; Joseph Macnow, Executive Vice President, Chief Financial Officer and Chief Administrative Officer; Mark Hudspeth, Executive Vice President and Head of Capital Markets; Matt Iocco, Executive Vice President and Chief Accounting Officer; and Tom Sanelli, Executive Vice President and Chief Financial Officer, New York Division. I will now turn the call over to Steven Roth.
Steven Roth: Thank you, Cathy and good morning, everyone. Yesterday, we posted second quarter numbers that I can say we are once again, the best in town. Here's the math. FFO as adjusted was $0.98 per share as compared to $0.95 per share for the prior year second quarter, a 3.2% increase. On a cash basis, FFO as adjusted was $0.96 per share as compared to $0.88 per share for the prior year second quarter, up a very strong 9.1%. Cash basis NOI was $341.9 million, up 5.6% from the second quarter of 2017. This quarter's company wide cash basis same-store NOI increase was 7.0% comprised of New York Office, up 11.0%; retail, down 1.3% with the total New York segment, up 5.9%. theMART, up 10.8%; and 555 California Street, up 23.8%. This quarter's leasing activity was robust. We leased 611,000 square feet of New York Office space at a record average starting rent of $88.28 per square foot. The mark-to-market increase on 502,000 square feet of second-generation space was 41.3% GAAP and 28.4% cash. We leased 49,000 square feet of street retail space at an average starting rent of $165.98 per square foot, call it $166. The mark-to-market increase on 38,000 square feet of second generation space was 11.6% GAAP and 8.7% cash. At theMART, we leased 50,000 square feet at an average starting rent of $51.56 per square foot. The mark-to-market increase on second-generation space was 9.4% GAAP and 1.6% cash. As David will tell you in a minute, across-the-board, we are full. All of these metrics are very strong and industry-leading. By the way, these numbers validate why we believe theMART and 555 California Street have a lot of room to run. Our office business continues to perform very well. As I've said before, we are experiencing robust demand from all manner of industries in all of our submarkets. Our tenants are optimistic, aggressive, growing and upbeat about New York. As you can see from our New York Office mark-to-market cash increases of 50.3% in the first quarter, and 28.4% in the second quarter, great things happen when the rents reprice. The best example of this to come in New York and probably in the country is our Penn Plaza assets. Here, we are physically transforming One Penn Plaza and Two Penn Plaza, which aggregates 4.2 million square feet. Our assets here will take in-place rents for these assets from the low-$60s per square foot to market rents approaching $90 per square foot. These assets are in the heart of the new New York, adjacent to the Hudson Yards and Manhattan West developments and sit literally on top of the busiest train hub in North America. And I can't say it enough that we have actually positioned our portfolio -- actively positioned our portfolio so that full 50% of our office assets are located in the fast-growing West Side submarkets. Retail continues to be soft. While I am certainly not calling a bottom, there is noticeably increased retail activity in doors, albeit at rents in most submarkets substantially below the top pick. We reaffirmed our previous guidance that retail cash NOI will not go below $304 million, and we still expect GAAP FFO as adjusted for the year to be flat albeit, very nicely positive on a cash basis. The office investment sales market remains healthy but disciplined with volume up 15% year-over-year. Demand and pricing is very strong for assets in the south and west of Manhattan, and for deals under $400 million a function of investor preference to keep check sizes smaller at this point in the cycle. Pricing for large assets is stable though, bidding pools are thin and it's taking longer to execute. I will note the just announced $900 million sale of Terminal warehouse, a 1.1 million square foot, 130-year-old warehouse type building bounded by 27th and 28th Streets and 10th and 11th avenues, which just so happens to be across the street from our 260 Eleventh Avenue. 260 Eleventh, which is currently fully leased is on deck for our next generation of transformations. We are working here with the renowned architect Richard Rogers to reimagine this brilliantly located asset. By the way, the Terminal sale comes right on top of the blockbuster Chelsea Market sale to Google as another data point in the red hot Chelsea Market. There continues to be very little sales activity in the retail sector due to both a lack of quality product on offer and understandable investor skittishness. Pricing is clearly up for everything, except prime, AAA, well-leased assets. I would note that we are beginning to see the first signs of distress where retail assets that were borne at the topkick and loaded up with debt are starting to struggle. In many cases, the [indiscernible] mostly made by nonbank lenders and debt funds and in some cases, even the first mortgage, will be impaired. Debt markets for New York assets remain as liquid as strong as we have seen them with all markets wide-open. Although rates are up, spreads continue to remain tight keeping all-in coupons at attractive levels. We have a highly liquid fortress balance sheet with $3.8 billion in liquidity, a reasonable leverage and well-staggered debt maturity. David?
David Greenbaum: Thank you. Good morning, everyone. Both total private sector as well as office-using employment in New York City continues to grow to record levels, albeit at a bit slower pace than in recent quarters. For the first half of this year, TAMI sector growth has been particularly robust at 7,000 new jobs, offset by slight declines in financial services and professional business services. This dynamic is yet another indicator of a phenomenon I've spoken about in recent quarters, which is the health and durability of the New York economy that has multiple growth engines. In 2017, it was financial services and professional business services that powered the job growth. The last 6 months has been the TAMI sector that's driven the growth. This diversity is a key underpinning of a very durable period of steady job growth. No surprise then that Manhattan leasing activity remained robust with 9.1 million square feet of new leases for the quarter. Absorption was a positive 2.8 million square feet, bringing the total year-to-date to positive 4.2 million square feet for the first half of the year and dropping the vacancy rate to 8.8%. Large deals continue to drive the market with 13 new leases greater than 100,000 square feet in the second quarter, 2 of which were our deals. Average asking rents in Manhattan are now hovering at $75 a foot and significantly for the first time led by rents in Midtown South. The overall market remains strong. Turning now to our own performance. As Steve noted, we turned in another very strong quarter in our New York Office business with 611,000 square feet of leasing activity and 37 transactions at average starting rents of $88.28, a new high watermark for us with very strong mark-to-markets of 41.3% GAAP and 28.4% cash. And importantly, walking in these robust rents for term with an average lease term of 10.5 years. In the quarter, we completed 2 substantial growth deals for anchor tenants at 770 Broadway and One Park Avenue. At One Park, NYU grew its new health care-related tenancy by 110,000 square feet across 3 floors. When we first acquired One Park Avenue in 2011, NYU occupied 144,000 square feet. With its most recent lease, NYU now occupies 632,000 square feet, a quadrupling of its tenancy. This expansion by NYU is reflective of continued growth in New York's healthcare sector, during the last 12 months represented almost 37% of the city's new jobs, more than any other sector. And at 770 Broadway, our anchor tenant expanded again, by 240,000 square feet, taking the total space in the building to 755,000 square feet. At Penn One, we executed 10 leases, representing 70,000 square feet at average starting rents of just under $70 a foot. Our office occupancy remains very strong at 96.6%. Our remaining 2018 expirations totaled 397,000 square feet, including only 3 blocks larger than 25,000 square feet. This includes Young & Rubicam's departure from 80,000 square feet at share at 825 7th Avenue where we and our 50% joint venture partner are undertaking a significant redevelopment. More than 1/3 of our remaining 2018 expirations are at Penn One, where Steve as mentioned, we will embark on a major upgrade later this year. Our pipeline remains strong at over 1.1 million square feet, including 260,000 square feet of leases out in active negotiations. On the development front, we will deliver 2 top-quality boutique newbuilds in the third quarter, 512 West 22nd Street directly on the High Line and 606 Broadway at the Gateway to SoHo. At the Farley Building, Skanska's work on the dramatic new Moynihan Train Hall continues at a rapid pace. Already 75% of the new escalators down to track level have been installed and the first glass will appear in the mid-walk skylight in the next month, while framing of the acre-sized skylight over the train hall is well underway. We've commenced the demolition of the old post office installations to begin the preparation of the future office floors, which will be available for tenant sit-outs in a little over two years and are busy with tours and RFPs both for the 730,000 square feet of office space as well as the 120,000 square feet of ancillary retail train hall space. The bottom line for our office business in New York is our industry-leading same-store growth of 8.3% GAAP and 11% cash. Let me now turn to our best-in-class street retail business. For the quarter, we signed 8 retail leases totaling 49,000 square feet at mark-to-markets of positive 11.6% GAAP and 8.7% cash. The retailer slide to quality continues and activity has increased this year as brands begin to take advantage of lower asking rents and prime available corners. After a solid holiday season, a luxury center -- the luxury sector has begun to re-enter the market but only for the very, very best locations. We signed a lease with Céline, an LVMH brand, at 650 Madison Avenue moving them from 71st Street to one of Madison Avenue's heavily trafficked corners at 59th Street. Our retail occupancy stands at 96.3%. For the second quarter, our retail business was basically flat with a small same-store decline of 1.5% GAAP and 1.3% cash. Turning to theMART in Chicago, it was a quiet quarter with no new office leases. No surprise when you consider that the office space is 99.5% leased. Same-store growth was strong at 5.2% GAAP and 10.8% cash. As we've mentioned over the last couple of calls, we have a large lease with Publicis that expires in Q3 that is well below market and will continue to drive our same-store growth. While the office leasing is quiet, we signed 19 showroom leases totaling 50,000 square feet at average starting rents of just over $52 a foot. TheMART, which is the commercial hub of River North subdistrict soon will also be the cultural heart of the district with the launch of our Art on theMART project. It's a nightly video projection on the 115,000-square-foot masonry facade of the building, equivalent to a 2.6-acre canvas facing the Chicago river. When announcing the installation, mayor Rahm Emanuel described the projection as the largest permanent art installation in the United States. We hope you can join us in Chicago on Saturday evening, September 29 as we launch the inaugural exhibition. Finally, at our 555 California Street complex in San Francisco, we've also been very busy. In our last call I told you that we had completed the lease up of the redeveloped historic 315 Montgomery building. Today, I'm pleased to tell you that in the early days of the third quarter, we signed the lease for the entirety of the iconic cube, the former Bank of America Banking Hall. We are presently well underway on a $45 million redevelopment of this grand building that was purpose-built as a retail bank of which will now become a flagship 77,000-square-foot co-working environment for the recently launched spaces division of Regus IWG, the publicly held co-working giant. We're very proud that IWG selected this highly visible site to showcase its latest offering. We've also been active in the Tower and within the last week, we executed a lease with Bank of America to expand by 30,000 square feet bringing BofA's total occupancy in the building to 316,000 square feet. With the lease with IWG as well as Bank of America, we effectively have now brought the entire 1.8 million square foot 555 California Street complex to 100% occupancy. Same-store growth for this asset in the second quarter continued very strong at 13.5% GAAP and 23.8% cash. For the business as a whole, our same-store growth was 4.7% GAAP and 7% cash. With the best office and retail properties in the best submarkets, we remain very confident in our position and our prospects.
Steven Roth: Thank you, David. We'll be happy to take questions.
Operator: [Operator Instructions]. Our first question is from Steve Sakwa of Evercore ISI.
Stephen Sakwa: Steve, I was just wondering if you could maybe talk about sort of the portfolio repositioning that Vornado has been going through over the last couple of years and kind of where would you describe it in terms of its evolution, meaning how much do you think you have left to sell, including some of the stock positions and what do you think the timing is behind those?
Steven Roth: Good morning, Steve. First off, our office business [indiscernible] in Chicago and San Francisco, we think has a perfect mix of assets. As I said at the call and as I've said over the last number of quarters, we think in San Francisco, we think, we own the best assets in San Francisco, the rents are rising, it's 100% leased now and the growth rate of the mark-to-market in the building is pretty extraordinary. So we think [indiscernible] enormous amount of value in San Francisco. That asset is a keeper. You know, in the merchandise -- theMART in Chicago -- I'm still in the good days. You know theMART in Chicago, where we think we have created the most amenity centric 3.7 million square foot asset, that asset has lots of room to run, that's a keeper. In New York as you know over the -- following us for a long time, we are wildly enthusiastic about the prospects for Penn Plaza, the validation of the neighborhood at the bullseye in what I call the new New York, and we think that the rent growth that we can achieve there is quite extraordinary with the industry-leading and is probably -- certainly the best in New York and maybe even in the country. We had curtailed our acquisition activity in the face of rising [indiscernible] and I think that I can say right now that I don't think I have any remorse about any asset that we haven't bought in the last 2 or 3 years, and we looked at every single one of them and chose to be extremely disciplined. With respect to the balance of our office -- with respect to the mix of our portfolio where we have been adding assets in the West Side market, even the Chelsea market [indiscernible] we think we've been exactly correct in that. We think that's where the rapid growth will be. And I would point to the 61 Ninth Avenue building that we built as a new build where we achieved $140 rents, which are, I might say, handsomely higher than even Park Avenue. Now, we announced some quarters ago that we have identified over $1 billion of noncore assets that we have on the for sale list. They are -- legacy real estate fund assets, they are some securities positions, they are some other assets that we have -- that don't get into our core. We are actively involved in marketing all of those assets and -- but it's slow going. Some of them are illiquid, some are more complicated, some of them have a little of hair. So we will accomplish that program but it will take us a little bit more time. What else do I need to answer your questions, Steve?
Stephen Sakwa: That's it for now. Just as a follow-up. You mentioned the distress in the retail area. It sounds like you might find some acquisition opportunities there. What's your sense as to kind of the timing and when some of those may kind of fall in your lap, is that a second half of '18 event or do you think that's more of a 2019 and beyond event?
Steven Roth: Certainly, not '18. This game plays out very slowly. And what I referenced was we're beginning to see struggling cracks. We're beginning to see lenders who are out of the money. We're beginning to see mezz lenders and debt funds and private lenders beginning to become aware of the fact that they are impaired. The process will take time. Now if we can buy an asset at 10% discount to what it sold for 3 or 4 years ago at toptick, we wouldn't touch it with a 10 foot pole. So what I'm saying basically is that we will get into that market and we will become an aggressive acquirer, but we will do it at the right time in the cycle and at the right prices.
Operator: Our next question is from Jamie Feldman of Bank of America.
James Feldman: Starting with the Chairman's letter and in recent conversations, there's a lot of talk about methods to close the NAV gap. So Steve, I was just hoping to get your latest thoughts on any activities that might be in process or just kind of where your head is in terms of I know you guys are doing a great job opening but any other thoughts out there?
Steven Roth: You know, I fluctuate between being trusted and getting pissed off. You can probably quote me on that, which I'm sure you will. We're not alone in the fact that our stock sells at a discount. If you go down the roster, everybody does. Some a little greater, some a little less. But there is, in New York, all the New York centric operators sell for approximately the same discount, with the exception of Boston properties, which sells at a discount, but a little better discount, a little bit less of a discount. So this discount, and wrote in my letter that these discounts seem to be chronic and they seem to be, I said it, I think I said in my letter, that private LP investors, which represent 90% of the property ownership in the country, 90% are willing to pay 100% to 105% for assets that they are going to hold for a very long time on behalf of their pensioners or their employees or whatever the fund is. Public company investors seem to be willing to pay not more than 80% of the value of an asset. So this is a chronic thing. We have done I think way more than anybody else has done to begin to handle the difference between public and private market values. We spun off $10 billion of assets in 2 companies. By the way, which are faring and performing very well, so we think that was a great transaction. We've sold $5 billion or $7 billion of additional assets. We got ahead of the curve and sold more assets before that market break, et cetera. So now, and I said this and it has been speculated, we're not done yet. We will continue this strive to restructure so as to get the maximum value we can, the optimum shareholder value that we can. And so there's been speculation that we spin this, we may spin that, we may do some other things. So I can only tell you that we are actively thinking about every possibility and we're not done yet. It's premature for me to speculate or to say anything about what our plans might be in the future.
James Feldman: And can you just walk us through as we think about street retail for the back half of the year or even into maybe first half next year, just what the major moves are in terms of large NOI moves in and out of the portfolio?
Steven Roth: We have guided that the portfolio will not go lower than $304 million of cash, okay? I shouldn't say this and Joe's probably going to slap me, but I will, as we go through the math, we think that will better that number -- maybe even better that number by a fair amount. So basically, what's going on is that we have -- we have chosen to -- some of the known move outs, we have chosen to give very short-term leases to tenants at low prices. So that fits our numbers. We have 1 or two properties, which will go vacant over the next year or so which we do not yet currently have a replacement tenant for. And if we got a replacement tenant, it would be for lower rents than we're [indiscernible]. So it's that which makes up, makes up the Retail. Now on Fifth Avenue and Times Square, which represents a full 50% or more of our retail value, we're leased -- we're 100% leased for term and that income is rocksolid, and will rise as the contractual increases in rent come about. The only vacancy that we have coming up, which we have reported multiple times is 689 Fifth Avenue where we have a lease expiring sometime in the middle of next year, I forget the exact date and the lease income on that is below market, so we expect to achieve an increase there. So I think there you have it.
Operator: Our next question is from Manny Korchman of Citi.
Michael Bilerman: It's Michael Bilerman with Manny. Steve, I wanted to come back to sort of the strategic alternatives, strategic options, everything being on the table. Just in the sense of time, at what point do you start to eliminate certain things and tell the market, X, Y, Z is not going to work. We're going to go with A, B, C instead. When should the market be prepared to get the sort of an update in terms of everything being on the table versus things get removed and certain paths that you want to go down?
Steven Roth: Michael, hello. What you're asking is something that we can't do and we shouldn't do. We cannot -- we have to run the company, and it's really not appropriate for us to communicate what happens in our boardroom and what happens with our bankers as we deliberate and as we go forward. We just can't do that, okay? So we have a history of activity. We have a history of doing smart things and we're going to try very hard to continue that. But we can't just get into speculation or premature announcements [indiscernible].
Michael Bilerman: Right. Just the sense of how critical it is at this juncture, whether we should be expecting things to come about this year versus time that just goes by and the stock trades up, trades down, trade sideways wherever it may go.
Steven Roth: The answer to that is the same answer that I just gave you 30 seconds ago.
Michael Bilerman: All right. On 260 11th Avenue, you bought 537 West 26 as well last quarter, in the first quarter. Can you talk a little bit about maybe the entirety of scope in terms of what you have as of right build with the [indiscernible] that you have, the timing upon which you would commence something and something in terms of total capital, additional capital that may be required for it?
Steven Roth: Well, 260 11th Avenue is a great asset. We bought it, how many years ago, David?
David Greenbaum: Three, 2015.
Steven Roth: Three, four years ago, which I think was exactly the right time to invest there. It's directly across the street from Starrett-Lehigh. It's catty-corner across the street from this Terminal warehouse that just sold for $900 million. So it's 3 blocks out of Hudson Yards, so it's a pretty terrific asset. It's exactly the kind of -- it's the old Otis Elevator headquarters. It's exactly the kind of asset that our creative class tenants want. And by the way, we also have had looksies from some more traditional businesses who want to transform their business by creating -- by attracting and recruiting a different kind of team. So there's that. Now we own the building. We also own a lot, which is vacant, so we will expand the building with a new build that will, what's the word, David, that will...
David Greenbaum: Integrate?
Steven Roth: Integrate, good. Integrate into the Otis Elevator building. We have brought in Richard Rogers who has an incredibly interesting skill set to reimagine this building, and meld the old and the new into the modern age. We think we're going to create something that's pretty extraordinary. We bought something that's called Cedar Lake, which is a one-story landmark district events space. How big of a floor, is it? 10,000 feet? Which has 10,000 square feet, and we brought it as an adjunct for the -- it's contiguous to -- we bought it as adjunct to 260 11th because if you think about it for a second, a company that goes in and takes that full building can use that adjacency for presentations, for sales, for events, for whatever, so we thought it's very interesting -- and by the way, that's the only building in town that has that kind of adjacency. The building is fully leased now to one tenant and what we're doing is we're going through landmarks, we're preparing for a reimagination of that building. We will not start that until maybe three years from now, two years from now, and that will involve canceling the lease, getting all our approvals, getting ready to go, et cetera. What might accelerate that is if a tenant comes in -- and by the way, we're really not actively marketing the building. If a tenant comes in, the community knows about the asset. So if a tenant came in, had to have the building then maybe we would accelerate that. We're not going to start this thing for I guess, 3 years. We are not ready to release budgets or statistics on this, and so I think that's my answer.
Operator: Our next question is from Vikram Malhotra of Morgan Stanley.
Vikram Malhotra: Maybe just some specific questions about street retail. Within the portfolio, I believe you had expirations coming up on Madison, three stores, in particular, which I think were likely to move out, 830 Madison Avenue. Can you give any update on those three tenants?
Steven Roth: We expect those tenants will likely vacate, and we do not have replacement tenants for them yet.
Vikram Malhotra: Okay. And just on that street retail. If I look at next year, and I'm not looking for guidance or any specific numbers but just for the leases signed essentially, Sephora, Levi's and Forever 21, can you give us a sense of the cash NOI contribution from those three in '19?
Steven Roth: We have that number?
Joseph Macnow: It's going to be roughly about 20 to 23.
Steven Roth: Tom said, it's going to be roughly 20 to 23. I'd like to have the accurate [indiscernible].
Vikram Malhotra: Yes, I can follow. I can follow up with you, guys.
Steven Roth: We'll take your next question and then when we find it [indiscernible].
Vikram Malhotra: Just last thing, some of your peers, especially in New York City have called for a midtown -- have called for a rebound in midtown rents maybe during the next 6 to 9 months. Can you give us your sense, do you agree? Disagree? What are you seeing in terms of rent trends in your market?
Steven Roth: What we're seeing is the West Side is on fire. What we're seeing is that Penn Plaza is doing wonderfully well. What we're seeing is that space is getting tight, the economy is very strong, people want to expand and there is activity in the traditional midtown market, but it is nowhere near as vibrant as the West Side market. What's more, we're looking over our shoulder at the new supply that is coming to the -- as a result of that West Side Hudson Yards, Manhattan West developments sucking million of feet out of the traditional midtown market. So it's difficult to understand what that will do. There are some folks who think that job growth absorb that space. That may be a little bit aggressive but over time, certainly it will be. So what we're saying is that we're 100% leased in our midtown assets but the growth that we are realizing, the extraordinary growth comes from the West Side.
David Greenbaum: We can get back, Vikram to the--
Steven Roth: What's the number?
Joseph Macnow: 20. In 2019, the cash coming out of those 3 leases is approximately $20 million. By the time they fully stabilize in 2020, it's about $28 million, $29 million.
Steven Roth: Forever 21, Levi's, Sephora. Forever 21 [indiscernible].
Operator: Our next question is from John Kim of BMO Capital Markets.
John Kim: A question on theMART. The office conversion has been a success. Steve, you mentioned there's still room to run. But in this market you have the owners of a Willis Tower and the main post office basically trying to emulate what you've achieved on large-scale iconic buildings, and I'm wondering how that impacts your ability to achieve the kind of rental growth that you had so far going forward?
Steven Roth: The answer is that the room to grow and the room to run is that we have [indiscernible] the publicist -- how do you pronounce it?
David Greenbaum: Publicis.
Steven Roth: The Publicis lease that expires is in the low-30s and the market rents for that space is in the mid- to high-40s. So there you have a 25% to a 35% increase right there. Almost every piece of a space that we will get back and rollover is under market and what have you, okay? That's one step 1. Step 2 is that we have the dominant building in the marketplace. We have the dominant building in the marketplace, by far. We have a franchise, and we get a premium through our competitors, which I believe will hold, and if it doesn't hold, we're still doing great. So we own this building, we have the lowest basis in town and the most attractive space in town. We do not shy from competition because the competition makes the district that our building is in, makes it even better and more in demand. For example, if there were one building in Park Avenue, Park Avenue wouldn't be Park Avenue. What makes Park Avenue is the 50 million square feet of tenants that are there doing business with each other, et cetera, et cetera. We can't stop the competition and we'll all be fine.
David Greenbaum: I might just add that over the next three years, in the building there's a total of about 425,000 square feet, all of which as Steve referred to are rents well, well, below market. Office space.
Steven Roth: And that represents 10% or 11% of the building, it's not a significant number.
John Kim: Got it. Okay. And then a question on retail...
Steven Roth: By the way, if you haven't seen the building lately, give us a call and we'd love to show it to you. And that invitation, of course, is open to everybody on the call.
John Kim: We'll take you up on that.
Steven Roth: Okay, good. We want you to. And by the way, similarly, I think NAREIT this November is in San Francisco, and we intend to do tours and an event at 555 California on that occasion. So you're all invited to that, too.
John Kim: I had a question on retail and the impact of discount retailers like Five Below entering Fifth Avenue. I realized that it's 2 blocks south where most of your assets are, but I'm wondering how do you think this impacts the perception of Fifth Avenue retail and potentially rents and value going forward?
Steven Roth: I don't know. The Five Below thing has sort of a desperation look to it. The difference between Upper Fifth Avenue and lower Fifth Avenue is enormously -- the demographic and profile of the customer, of the street traffic, of the occupant, [indiscernible] is like night and day. So there's that. By the way, the rents are multiples -- Upper Fifth Avenue rents are multiples of what lower Fifth Avenue is. So I don't think it will have any effect. It's not something that I worry about actually. So while Five Below may be going 20 blocks south or something like that, Nike is opening their world flagship, you have to come see it, adjacent to our Victoria's Secret store they're on -- we share the block, [indiscernible] we're on the 51st Street side, they're the 52nd Street side, it's a 7-story behemoth. It's going to be extraordinary. But I would rather focus on what Nike will do to traffic and values rather than what Five Below will do.
John Kim: If I could just squeeze one more in. This morning we had the announcement of Brookfield buying Forest City, and you talked about a number of office companies trading at significant discount to NAV. And I'm wondering if you think we'll see more consolidation or privatization in this sector?
Steven Roth: Possibly. Possibly.
John Kim: Can you argue that there's an advantage of being private rather than public?
Steven Roth: Say that again.
John Kim: Is there an advantage to being private and privately run versus a public company?
Steven Roth: That's too loaded a question for me. I will tell you that the business format, the asset-light business format of the real estate funds is one might think a better format than the public companies, which basically are asset-heavy, so there's that, I can tell you that the comp for the private real estate companies out front is better than the public companies by a wide margin. And I can tell you, in easy money times such as this, which may be coming to an end but may not be, the advantage that the public companies have access to capital does not exist. Private companies have as much access to capital, if not more. So it's fun to be the head of a public company, it's fun to be a head of a private company, it's all fun.
Operator: Our next question is from Daniel Santos of Sandler O'Neill.
Daniel Santos: I was wondering if you could comment specifically on what the tax implications would be if you were to sell some of those noncore assets you've identified?
Steven Roth: Joe?
Joseph Macnow: Daniel, we said that originally, there was about $1,250,000,000 of assets, and we would be able to retain $1 billion of that, meaning that there was tax gains of about $250 million which would be distributed to shareholders barring some other event [indiscernible] needs. And that really hasn't changed very much. Now look, some assets have been added like 666 Fifth Avenue, some assets have been sold, over $100 million has been realized to date but that's roughly the numbers. About $1 billion of the $1,250,000,000 would be retained by us.
Daniel Santos: Got it. That's helpful.
Steven Roth: That's pretty good and pretty attractive, we think.
Daniel Santos: Agreed. My next question is on Crowne Plaza...
Steven Roth: By the way, Daniel let me just say one more thing about that. You know that it's not a free lunch. These assets have, on average, a return to them, this $1 billion that we're talking about, in the 4% to 5% range. So selling them is dilutive until we replace those earnings but then we're very, very, very cognizant of that. The second thing is that we spent a lot of time understanding what the clearing price of the clearing strategy of knocking those assets out more quickly is [indiscernible] possible that the clearing price to get speed on that might be $100 million less than we projected, which in the scheme of things is a great deal of money but in the scheme of things, it's not.
Daniel Santos: Got it, that's helpful. And my next question is on Crowne Plaza. Can you give us an update there and your ability to rebrand it?
Steven Roth: We have a franchisee, and we have a relationship. There's litigation pending about that relationship and other than that, I have no comment.
Operator: Our next question is from Jed Reagan of Green Street Advisors.
Joseph Reagan: Just to follow-up another question in terms of rent growth. Can you quantify how much net effect of rent growth you're seeing on the West Side, that Penn Plaza, Chelsea area? And then may be related to that, just curious how you'd characterize concession trends across Manhattan at this point?
Steven Roth: David?
David Greenbaum: Jed, I think part of that is concessions, which I think has been flat. As we look at our numbers and so we went back over the last 3 years and on average, and what we look at is the metric that I think most of guys consider TIs per square foot per annum as a percentage of the starting rent. Obviously, as the starting rents have significantly increased, so that in this quarter the number of $88.28. Now, our average TIs as a percentage of starting rents was 7.8%, which to us is really well-contained, and it's been very leveled in the range of the 7% to 8% range over the last 36 months. So we're seeing little no further pressure in terms of concessions and seeing those numbers stabilized. Obviously, that is having a positive impact on net effects as we have seen continuing rent growth in the markets that Steve talked about, the West Chelsea market and also in our Penn Plaza District where as I said on the call, rents for this quarter average rents for all of our leases at One Penn were at $70 a foot.
Joseph Reagan: But on a year-over-year basis, recently is that a low single digits, mid-single-digits or sort of hard to put your finger on it?
David Greenbaum: Listen, it's all dependent obviously, on which pieces of space are coming up in the buildings but as you look at that whole West Side district, that's where we have really seen what I refer to as a fairly explosive growth in rents over the last number of years. Over I'd say the last 12 months or so, those numbers on the West side basically have been stable to [indiscernible] probably low single digit growth.
Joseph Reagan: Okay. And then I guess sticking on the West Side. Any update on how you guys are thinking about plans at Two Penn Plaza? And do you have any more clarity on whether you'd go the redevelopment route or a potentially full teardown and rebuild?
Steven Roth: I think we said on the last call, the call before, that we have abandoned the teardown, and we are full-speed ahead on the redevelopment and reimagining -- the reimagining of Two Penn, which will go into a complex with Two Penn and One Penn -- Two Penn and One Penn connected into a 4.2 million square foot complex. The advantage of having a campus like that, which is on top of the train station, you can get from both buildings to the train station without going outside into the rain and snow, and you can get from one building to the other building with also not going outside is that we can service our tenants with greater amenities, this is 4 million feet, not 500,000 square feet. And the second is as our tenants grow, which is really the lifeline of our business, as our tenants grow we can always find space for them for growth in the 4 million feet.
Joseph Reagan: Great. Are you in any position to sort of size the cost of that project or economics around the Two Penn project?
Steven Roth: Not yet. I did say in my remarks that we expect to take the rents from the low-$60s to approaching $90s. So that will be a feel for what we think about income side of that. Now remember, and I know you know this, that we only realized that uptick as leases roll. So what we're talking about is in-place rents are in the low-$60s and we believe the market when we get done and however long it takes, will be approaching $90. With respect to the cost of the project, we're still involved in bidding and plans and estimating. We're not ready to release that number.
Operator: Our next question is from John Guinee of Stifel.
John Guinee: David, it looks like you have had stunningly good lease spreads in the first half of this year. Looks to me with an average in-place rent of mid-$80s, that should slowdown in the second half but then 2019, with an in-place rent of $63, you have the potential to replicate the first half of this year. Is that accurate? Or are there not the same magnitude of spreads available for the next 18 months?
David Greenbaum: I'll first talk to a minute about the second half of this year, so there are a number of leases that are coming back to us through the end of this year that are at very high rents, which is the reason that you're seeing some average rents of, I think, it's about $82 a foot for the space coming up through year-end. On those, most of [indiscernible] will be flat, and a couple cases there'll be some rolls down what have been some very, very high rents. As we look out into '19 and the future, we remain very optimistic in terms of the spreads that we can achieve on the portfolio.
John Guinee: Okay, great. And then Steve, 2005 to 2015 was the golden age of REITs, declining cap rates, declining interest rates, raising NAV, positive fundamentals, lot of positive fund flows to the rededicated crowd, a real NAV bias in the way people look at things. If your crystal ball said to you that, that's just not going to happen again. There's not going to be an NAV bias in how people underwrite REITs and if multiples going forward, with interest rates going up are more in the 15 to 16 range, which is on a $4 FFO sub-$60 a share for a company like Vornado. If your crystal ball said that to you, would you step up any thought process strategically or how would you think about things?
Steven Roth: Well, first of all, I like you a lot but I don't like your comments. Obviously, we think about that all the time. So the answer is yes. I don't know that we see the same level of ugliness in the marketplace that you do but we're prepared for everything. So the answer is yes.
Operator: We have no further questions at this time.
Steven Roth: Thank you all very much. We appreciate -- by the way, I think it was my friend Tony Malkin who made a comment on his earnings growth that he was a hero and won the race for the shortest prepared remarks. So I'm happy to let him win that, but we completed this call in 58 minutes, which is a record for us, and so we thank you all very much, and we'll see you on the next quarter.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may now disconnect.